Operator: Thank you for standing by, and welcome to Transphorm’s Second Quarter Fiscal 2024 Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions] As a reminder today’s program is being recorded. And now I would now like to introduce your host for today's program, Mr. David Hanover of Investor Relations. Please go ahead, sir.
David Hanover: Good afternoon, and welcome to Transphorm’s second quarter fiscal 2024 earnings conference call. Joining us today from Transphorm are Primit Parikh, CEO, President and Co-Founder; and Cameron McAulay, Chief Financial Officer. Before we begin, I'd like to point out that there is a slide presentation associated with today's prepared remarks, which management will be referencing during the conference call. These slides can be accessed through the live webcast link in the Investors section of Transphorm's website where they will also be posted and available as a link to a PDF subsequent to today's conference call. Additionally, during the course of this call, the company may make forward-looking statements regarding the company's financial position, strategy and plans, future operations, specific end markets and other areas of discussion. It's not possible for the company or management to predict all risks nor can the company assess the potential impact of all factors on its business or the extent to which any factor or a combination of factors may cause actual results to differ materially from those contained in any forward-looking statements. In light of these risks, uncertainties and assumptions, the forward-looking statements discussed during this call may or may not occur, and actual results could differ materially and adversely from those anticipated or implied. Any projections as to the company's future performance represent management's estimates as of today, November 9, 2023. Neither the company nor any person assumes responsibility for the accuracy or completeness of the forward-looking statements. The company also undertakes no obligation to publicly update forward-looking statements for any reason as to the date of this call to conform such statements to actual results or to the changes in the company's expectations. For a more detailed information on risks associated with the company's business, we refer you to the risk factors described in Transphorm's most recent annual report on Form 10-K and other subsequent filings with the SEC. With that said, it is now my pleasure to turn the call over to Transphorm's CEO, Primit Parikh. Primit?
Primit Parikh: Thank you and good afternoon to everyone on the call. We are pleased to report a strong second quarter of fiscal 2024 as year-over-year revenue grew 36% to $5 million, and product revenue increased 18% over the prior quarter to $3.6 million, exceeding our expectations. We also delivered higher gross margin and reduced cash burn, each exceeding our expectations. The design in momentum continues to be very strong, having grown our pipeline further by over 5% since our last Investor Call. Our product pipeline today is over $475 million dominated by high-powered products where Transphorm has a clear advantage in quality and reliability, performance and IP differentiation. Q2 revenue was comprised of about 70% in product revenue with government revenue just under $1.5 million. The government portion at the lower end of our targeted range due to the timing of our key government contract negotiations. Overall, more than 70% of the product revenue mix came from high-power areas, where Transphorm continues to be the world's number GaN company with superior high performance and reliability over every other GaN competitor, most notably e-mode GaN. A white paper was recently published that outlines the superiority of Transphorm's GaN technology. We continue to make new advances, unlocking more capability of the GaN to address larger market segments as evidenced by strong product offerings that now include high-power surface mount packages like the TOLL and the TOLT, the topside cooled package, another first by Transphorm in gallium nitride. We now have also started sampling pin-to-pin as well as other high-performing high-power products that a drop in replacement to silicon carbide MOSFETs. We continue to have additional wins in the lower power area, especially our recent system in package SiP strategy, enabling multiple customer wins. Now going through Slide 3. I will first start with a high-level corporate update. Our leadership in high-power GaN remains strong as we grew our pipeline to over $475 million and our products surpassed more than 200 billion hours in the field, further demonstrating our superior reliability. We are expanding leadership in three key high-power verticals: computing power for data centers, AI machines and blockchain; energy and industrials, including micro inverters, UPS and servomotors; and electric vehicles, initially with two and three wheelers followed by four wheelers. We continue to increase our penetration in the low-power side as well with a system in package partnership as well as growth in notebook chargers that benefit from the superior reliability delivered by the physics-based benefits of our GaN versus e-mode GaN. Having delivered strong product revenue growth over the previous quarter, coupled with our robust pipeline, we expect to see continued sequential product revenue growth in the current third quarter. Second, we recently engaged Bank of America, BofA Securities, to act as our financial adviser in connection with our previously announced and ongoing strategic review to enhance stockholder value. Given both inbound interest we have received from third parties, coupled with continuing strong macro interest in GaN power with the help of Bank of America, we are systematically pursuing multiple options that may include the merger or sale of the company. As we previously discussed, we are working on securing non-dilutive debt financing as well as having in-depth discussions on certain licensing possibilities as we work to secure our financial runway well into fiscal 2025. Now moving on to Slide 4. I will next review our key vectors and execution metrics for the quarter. We reported $5 million revenue in Q2, 70% of which was from product sales that exceeded our expectations, with the majority coming from high-power, which is more than 300 watts for us. It is worth noting that competing e-mode GaN has not realized yet end product customer ramps due to unclear full voltage reliability of e-mode GaN, at least from offerings from the leading e-mode GaN Foundry. For fast chargers in the low-power space, we secured 15 new design-ins, taking the total to more than 115 with over 30 now in production. Notable is our multiple wins at two of the top three worldwide lap of OEMs due to the performance and reliability of d-mode normally off that delivers higher efficiency from an effectively smaller die due to its superior dynamic characteristics. We are gaining rapid traction with our SiP, our system in package strategy with more and more integrated controller and driver companies and the strong ecosystem partners now who are increasingly preferring to design-in Transphorm's pure-play GaN chips with more than five products now in design-in and two SiP products released. To the best of our knowledge, Transphorm still is the only GaN company with broad-based customers in the high-power across segments from 300 watts to over 4 kilowatts who have ramped in the market, and now we are addressing 7.5 kilowatt power levels from a single chip. Since our last update, we've had a record of 33% sequential increase in design-ins for high-power that stand today at over 100 of which over 35 are in production. Adding to our already diversified package portfolio, we introduced several new products, notably the high-power surface mount TOLL and TOLT topside cooled packages, a first for GaN. We are working with leading customers in the server, energy and microinverter space for this high-reliability high-performance parts. We are also sampling a 4-pin TO-247 high-power GaN, something e-mode GaN cannot do due to the inherent gate weakness – and these 4-pin TO-247 are pin-to-pin compatible with silicon carbide MOSFETs while exhibiting 25% lower losses at 5 kilowatts versus the latest silicon carbide MOSFETs from global top three supplier. Recent high-temperature full voltage stress testing on the SuperGaN products revealed superior reliability and the dynamic performance over e-mode GaN from the leading foundry that exhibited 400% increase in resistance, i.e., losses for the e-mode GaN case after just 500 hours of reliability testing. Where is this may be acceptable for low-power adapters, it certainly is not for high-powered server, industrial and automotive. And this is where Transphorm GaN especially excels. These, coupled with the ecosystem partnerships with IC companies for Transphorm GaN that can be used with standard controllers and drivers will also contribute to our anticipated sequential product revenue growth. Our 1200 volts GaN has progressed well with models and data sheets that are drawing significant interest from EV customers, some of who are even starting to view GaN as a possible future replacement for silicon carbide. With automotive qualified products today at 650 volts and then having 1200 volts in the future with the promise of a simpler supply chain and an attractive cost structure with gallium nitride. Our efforts to improve operational capacity and costs led to continued higher productivity from our Japan epireactors, while further capacity from qualification at our global wafer reactors is expected by the start of fiscal year 2025. We added high-volume packaging subcontractors for both our high-power and low-power products, a move aimed towards improving margins as well as capacity as we target aggressive growth over the next few quarters. Moving on to Slide 5 now. Let me turn to our partnerships in key manufacturing and customer initiatives. Our manufacturing scale expansion efforts remain ongoing with global wafer reactors now in qualification. And expect it to be done by the end of fiscal year 2024 to ramp in fiscal 2025. We now have six out of eight of our MOCVD reactors installed and running at various levels of production or development. And consistent with previous updates, about $50 million [ph] of annualized product revenue comprising both wafer and package products can be supported. Our AFSW wafer fab continues to operate on target and has sufficient capacity plans in place for fiscal year 2024 and 2025. With incoming interest of third parties in the AFSW wafer fab joint venture, we are also potentially looking to add a third partner that could reduce our ownership to roughly half of the current levels in fiscal 2025, while maintaining IP ownership for our technology in the fab. Transphorm has the only GaN offering with three and five micro-seconds short-circuit rating, developed under a funded effort from Yaskawa, a worldwide leader in motion control and robotics. We also achieved 12 kilowatts from a single device in a half-bridge topology without any paralleling, which promises over 30- to 60-kilowatt scale inverters when used in three-phase single and parallel mode, an important step towards enabling EV in wafers with gallium nitride. We also came one more step closer to achieving our targeted growth in the EV two-wheeler and three-wheeler charging space, with the release of 300 watt and 600 watts two- and three-wheeler EV charger power supply designs. We have successful ongoing design-ins at two of the top five India-based OEMs that we expect to ramp next calendar year. As stated before, with the automotive exclusivity behind us now, we progressed on worldwide customer engagements with EV four-wheeler customers for charger and converter applications, with 650-volt automotive AECQ one-on-one qualified products. And we are in early discussions regarding our 1,200-volt technology. Some manufacturers, including a leading U.S. OEM have engaged in efforts to develop gallium nitride as a potential future replacement of silicon carbide. We received payments of a little bit more than $1.4 million in Q2 on our NSTXL Epi wafer government program that was awarded to Transphorm in the fiscal first quarter of FY 2024. And thus far, we have received about $4.4 million of payments from performance under this award. We are also in meaningful discussions for licensing with various parties, some of whom are planning for GaN fab manufacturing under the U.S. chipsets. This would result in significant non-dilutive capital that could be in place in fiscal 2024. Last but not least, Transphorm is also part of the micro electronics common chipset trust through our participation in the coalition led by University of Southern California to enhance production of 5G and 6G semiconductor manufacturing, where we expect to secure support for funding through this program for enhancing some of our rf GaN epi trust. Now on to Slide 5. Our core capabilities, again, from low power to high-power wafers and package products are captured in our large and growing pipeline. In line with our strategic emphasis and revenue profile, about 70% of our power products pipeline applications are for high-power defined as over 300 watts. Across the full spectrum, Transphorm's gallium nitride is fundamentally superior to other GaN like e-mode GaN and typical foundry offerings, the impact of high reliability and robustness getting even more evident in the higher public areas. This, coupled with growing ecosystem partnerships with IC companies, both in the low-power and high-power space, we expect to convert larger portions of this pipeline into production, hence, supporting our targeted product revenue growth both near term and long term. In closing, our priorities will be on the following areas. First, progressing through the strategic review process now with the assistance of Bank of America, BofA Securities, to systematically identify the best options to enhance shareholder value, including the potential merger or sale of the company. And to secure non-dilutive debt and other capital, such as licensing, meaningfully extending our cash runway well into fiscal year 2025. Second, continuing sequential product revenue growth in the current fiscal Q3. And growing our worldwide sales and application footprint to enable faster conversion of our growing design-ins into revenue. All are based on our superior performance, high reliability, and cost effectiveness of SuperGaN products, as well as our ecosystem of strong solution partners in the IC space, SiPs notably, for lower power and system level solutions for higher power. Third, continue to improve margins through achieving higher volumes, transitioning to lower cost packaging subcontractors, and following our technology road map to improve performance while reducing costs. Fourth, accessing new markets like 800-volt battery EV systems. And adding new offerings, like the 1,200-volt GaN and motor-drive products with short-circuit capable GaN, as well as other novel topologies like the four-quadrant bidirectional switch all first enabled by Transphorm GaN. Overall, as one of the only pure-play GaN power semiconductor companies in the world, with volume production in both the low-power and high-power segments, we are well positioned to progress towards our long-term model in fiscal year 2024 and beyond. With that, I will hand it over to Cameron to walk you through our financials. Thank you.
Cameron McAulay: Thank you, Primit. And hello to everyone joining us today. Let me now start my remarks with a brief recap of our financial results for our most recently completed quarter. For my remarks, I will refer both to GAAP and non-GAAP results, which are reconciled to GAAP in our press release tables. Non-GAAP results exclude stock-based compensation, depreciation, amortization, and other income and expenditure. Starting with the income statement. Total GAAP and non-GAAP revenue comprising product and government was $5 million in the quarter. This represents a decrease of 15% to the prior quarter and an increase of 36% over the same quarter last year. Product sales were $3.55 million in the quarter, in excess of our expectations. And an increase of 18% from the prior quarter and 12% from the same quarter last year. Our product revenue is being driven across a broad range of power conversion applications, including fast chargers and adapters, and gaming and data centers. As noted by Primit, we continue to see positive momentum with our customers and production. Looking to the immediate future, the company anticipates a continuation of our sequential product revenue growth in the current quarter. Government revenue was $1.45 million in the quarter, a decrease of $1.45 million in the prior quarter and an increase of $1 million from the same quarter of last year. This year-on year-increase has been driven by the successful award and execution of our new $50 million government program. We will continue to see solid revenue from this program over the year, with flattish revenue anticipated in the coming quarter. The reduction from the prior quarter is attributable to pre-work done at the inception of the contract that increased revenue particular to Q1. The gross margin in the quarter was 23%, down from 35% delivered in the prior quarter. And higher by 11%, when compared to the same quarter last year. The train driver here from the prior quarter was the reduced overall revenue from our higher margin government business. Direct margins for a product business remained largely stable in the quarter. We anticipate company gross margins will remain largely stable in the coming quarter for our product and government businesses. We continue to progress towards our long-term model of gross margins in excess of 40%. A number of actions, including new product introduction, ongoing cost efficiency activities, and benefits that we will receive as we continue to grow and scale are expected to contribute to this increase. Operating expenses on a non-GAAP basis were $6.4 million in the current quarter, down 6% from the prior quarter. Spend for the current quarter is anticipated to remain largely flat. Coming to EPS, I will focus my remarks here on the non-GAAP results. The non-GAAP EPS loss in the quarter was 8%, flat when compared to the prior quarter. From an operational perspective, we continue to see solid traction in our targeted markets as evidenced by our improvement in both customers and production, and design and activity. As mentioned earlier, the company anticipates sequential product revenue growth in the current quarter. Our short-term focus is on product execution and enabling capacity expansion to support medium- to long-term growth. We also continue to invest in the long-term growth engine of the company. Coming out of the balance sheet our shareholders’ equity was $23.7 million at the end of the quarter, an increase from $19.6 [ph] million as of March 31, and $22.8 million in June.  Operational cash burn excluding capital investment, decreased significantly in the quarter from $6.8 million to $5.1 million. This was driven primarily by improved collections, including receipts from our government business and ongoing tight spend management procedures. As noted in the prior quarter, the company has no debt on its balance sheet. Cash and cash equivalents were $6.2 million at quarter end, enabled largely through the $8 million received from our rights issue. We continue to progress towards completion on debt facilities and expect to conclude these facilities in the near term. Looking ahead, we continue to remain open to opportunities to further strengthen our balance sheet in order to ensure that we are able to continue to invest in our growth. A growth made possible through our continued progress with the design wins and production customers. Concluding now with a few key highlights. Transphorm publicly listed on the NASDAQ Exchange, is a global leader in robust GaN, the future of next-generation power systems. Our disruptive, best-in-class technology is addressing a large growing market opportunity. We are commercially ramping with a strong pipeline in place. We have established a strong network of blue-chip partners and have a comprehensive product offering to-date that meets our customers' needs across a wide range of power levels and segments. All of this is underpinned by the industry's strongest IP position, a vertically-integrated supply chain and a deep and talented team. That concludes our prepared remarks on materials, and we would now like to open the call to any questions. Operator, please proceed with the Q&A portion of the call.
Operator: Certainly. [Operator Instructions] One moment for our first question. And our first question comes from the line of David Williams from The Benchmark Company. Your question pleaser.
David Williams: Hey. Good afternoon everyone. It's certainly good to speak with you again and congrats on just the continued progress here. I guess first, Primit, I wanted to ask a little bit about the process that you're going through on the strategic side. You talked about having a lot of interest there. Is there any further maybe color you can provide there in terms of the types of interests and really where things are leaning today? Is there anyone that's shown some interest that gets you more optimistic? Or just anything, I guess, to help us understand how you're thinking about this ongoing strategic review? Thank you.
Primit Parikh: No. Thank you. Thank you, David. I think the most important thing there, and as we talked we hired BofA Securities, Bank of America to help us channel systematically this interest that we talked about the inbound interest so we can do the due process for all of these opportunities that are in the way. That is what we can share publicly. We can – definitely, we will continue to update on that as soon as updates become due. But that's a key message, that we did this for a reason, getting BofA Securities onboard so we can systematically channel through all these opportunities.
David Williams: Yes. Thanks for that. And I thought it was interesting, your commentary, just about silicon carbide or GaN being a competitor there, and we've talked about this quite a bit in the past. But we heard one of your peers earlier this week that also it was probably the most glowing review that I've heard before publicly in terms of just that opportunity. Can you talk to us about how you think about GaN in terms of displacing silicon carbide, and especially as it matures and where we are today? But it feels like just from an efficiency standpoint and a cost perspective that there would be a large opportunity, at least in that 1,200 volts kind of range, that the GaN could really feel and become the de facto kind of standard. Is that how you feel? And maybe just any color there would be helpful. Thank you very much.
Primit Parikh: No. Thanks David. We definitely strongly believe in that, right. So today, if you look at kind of the low-power and intermediate power, and the high-power side space, there is not too much silicon carbide. Of course, silicon carbide has done very well on the automotive side, right, with many strong companies in the freight. But according to physics, this is just physics that GaN should have 70% lower losses than silicon carbide. And I think we have announced publicly before and shown results that Transphorm GaN, other GaN, I don't know about, but Transphorm GaN has harnessed about half of that 25% to 35% lower losses than silicon carbide with the affordable cost structure of GaN-on-Silicon for 650 volts and for our 1,200 volts platform, GaN-on-Sapphire. So that's the reason we believe this inquiry is now for – even for automotive, there was no question on the other areas we are into micro inverters, for example, server, UPS, all of those areas. But now for automotive side, the interest – inbound interest coming in has been very exciting for us, both for 650 volts, for the 400 [ph] volt battery node and then with our GaN-on-Sapphire 1,200 volt node for the 800 volt battery application. So exciting, definitely.
David Williams: That's great. Well, congrats again on the progress and certainly looking forward to hearing how the rest of the year turns out and further GaN adoption. Thank you, sir.
Primit Parikh: Thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Craig Ellis from B. Riley. Your question please.
Ethan Widell: Hi. This is Ethan Widell calling in for Craig Ellis. Thanks for taking my questions. To start, it sounds like you have some nice design and activity, especially in high-power. I guess between high and low-power, where are you seeing more engagement activity and value? And what is your confidence level and your ability to fulfill demand? Thank you.
Primit Parikh: Yes. So on that, as we have said before, right, high-power is where Transphorm is one of the undisputed leaders in high-power GaN, that is. And we continue to want to establish our leadership and extend our leadership in high-power. And about 70% we have said it, of our revenues come from high-power. That said, we do like the low-power segment, of course, because we offer better performance with reliability and it's a good ramping area for us, especially with the system in package, SiP partnerships that we talked about with multiple very strong IC partners enabled again by the so-called open architecture or easy, easy drivable architecture of Transphorm scan. So clearly our focus leadership in high-power, 70% revenue is there. Low-power is a good segment; we want to win our fair share in that market. In terms of fulfilling the demand, we continue to do two things there. One is focus on our sales and FAE [ph], sales – sales and field application footprint worldwide. That's an important part to continue to fulfill that demand and support customers. And second, as you heard in the call on capacity, our epi wafer capacity is coming up nicely, and our wafer fab has been stable with plans in place for capacity increases there. So for the near- and mid-term, we are reasonably well set to fulfilling the demand with those two key areas I talked about.
Ethan Widell: Thank you. And then could you speak to your expected cash burn over the next few quarters? And whether equipment based financing is still an option that you're considering?
Cameron McAulay: Sure, yes. Thank you, Cameron here. So the one thing I see is we brought our cash burn down significantly from 6.8 to 5.1 in the current quarter, and I think that it will likely hover around that level for the near future. I think, the key thing for us, as Primit mentioned in his prepared remarks is that we're actively pursuing primarily debt facilities, but also looking at licensing opportunities. The combination of that would bring our financial stability comfortably into fiscal 2025, and we're hoping to conclude that in the near term.
Ethan Widell: Understood. Much appreciated.
Cameron McAulay: Just, I was finishing the thought on equipment leasing here. That is an avenue that we remain open to, and we're continuing to pursue that along with our other avenues of potential funding.
Ethan Widell: Yes. Thank you for that.
Operator: Thank you. One moment for our next question. [Operator Instructions] Our next question comes from the line of Ananda Baruah from Loop Capital. Your question please.
Ananda Baruah: Hey, yes. Thanks guys, and good afternoon. Thanks for taking the question. Yes. I guess, a few if I could. Just going back, Primit, to the strategic review, is there any time frame? Or any sort of time-related signpost that you guys are looking at that would be useful for us to be aware of?
Primit Parikh: I think, the key thing I'll reiterate there, Ananda is with BofA Securities on, we are working hand-in-hand with them to very systematically now to drive this process. We'll definitely be updating as and when the key updates are due, public updates are due, but we are progressing very systematically with BofA here.
Ananda Baruah: Okay. Got it. Thanks. Thanks for that, Primit. And just going to the product roadmap, the ramps you guys are seeing in product revenue, lots of wins. The high-powered wins seem like they really amplified the last 90 days. What's a useful way for us to think about, given the design in activity, given the momentum that you've seen and you're calling to continue to see sequentially in product growth. What's a useful way for us to think about the impact of what's then good design activity, sort of both high-power and low-power manifesting into revenue dynamics across the product portfolio over the next 12 to 24 months? And any context underpins, that would be like super useful too. Thanks. 
Primit Parikh: Great question. The way we think about those and just based on our historical experience and where we are today with customer. First of all, we were very pleased with the growth in the – especially, we grew the low-power design-ins by 15% versus last quarter, and the high-power, like we said, 33% from 75-plus to 100-plus just in one quarter. And this was a result of again, our products' reputation in the field and performance and just adding a few sales heads in Asia, which helped us expand so much. And long term, the way we think about it, the conversion is on the high-power side, the design cycles are slightly higher. It could be from 12 months to 18 months. For a brand new design from scratch, it could be even 18 to 24 months. On the low-power, they tend to be faster from say nine months. If it's a derivative product, it could even be as fast as six months, but usually nine months. And a brand new product with a large ODM, large OEM could be 12 months plus. And historically, on the high-power side, our conversion rate has been very strong around more than 75% conversion rate. That doesn't mean other 25% it lost is maybe still ongoing, but we have had very good success rate on the high-power. On the low-power it tends to be a bit more fragmented. But that's why we are adding. We have more than 100 – 100-plus, 115-plus wins now ongoing. And on that side of the step, we have taken with our SiP, system in chip partners is something we expect next two, three quarters to start adding revenue nicely because it actually magnifies our own sales channels and application channels with these SiP partners that we have.
Ananda Baruah: And Primit, just to follow-up on, I guess the high-power, both are interesting, but the high-power is just because that's a bigger impact. Of the 35 products you have in production right now – of the 35 products in which you're in production right now, is that to say, given the time, sort of the timeline that you actually just spoke to, is that to say, well, let me just – I guess what I'm wondering is, the 35 you have in the field today, how did those layer in over the last 36 months? And is it useful to say that of the 100 you have, that in the next 36 months, given the time frame you gave, you could sort of double the amount of products in production? Is there any usefulness in that?
Primit Parikh: No. Good question. Again in the next – I think we can look back where we were in terms of the 35, I believe a couple of months ago. I mean a couple of quarters ago, sorry, we were about, I would say 20-plus, if I remember correctly, and where we expect out of the 100-plus design ins we have. So 35-plus are in production. So you can say around 70 – 65, 70 are still design ins, right? So over the next 18 to 24 months, I would say, if our estimates are good, around 80% of that. So you can say out of the 70 to 80, about 80%. So there'll be like 55, 60 of them more would get into production. So yes, we should more than double from where we are today. That's a good way to look at it.
Ananda Baruah: Cool. And just you mentioned the new sales force was sort of the messaging to be that the 30% sequential increase in high end designs-in was primarily driven by the incremental sales force?
Primit Parikh: No, it helps the coverage, but it's actually primarily driven by the products we have, benefits versus e-mode GaN and performance benefits versus silicon carbide. The proven reliability and the 200 billion hours in the field. But the coverage – coverage definitely helps. That's why I alluded to it. Just like a headcount or two, you can suddenly get coverage of 15 more accounts. Right. So that definitely helps.
Ananda Baruah: Got it. And so, it is more – And really? What I guess I'm trying to tease out is, are these kinds of sequential increases, these kinds of wins, is there something that's structurally sustainable to it, these design-ins? Do you sort of hit a stride, so to speak, such that I don't know if it's 30% Q-over-Q, but like 25 new ones sequentially? Have you hit something that's a bit of a sweet spot now? Or I guess maybe – is this maybe not sustainable?
Primit Parikh: I think we were very pleased with where we were this quarter, right. So I think if we look at past, we've been adding healthily on the high-power side, right. I believe two quarters ago we were 60 and then we went to 75, so we added 15. This time we added more. It's a very good quarter we had in terms of new design-ins added. So, yes, we should – I mean, we cannot get a 33% increase, I think every quarter-over-quarter. But we should look to healthy increases, right? Because the products are there, the performance is there, the manufacturing capacity is there. And with promotions and what we are gaining worldwide footprint now, we should look forward to these increases. But I cannot say whether each quarter will be a 30% increase.
Cameron McAulay: Certainly, Ananda, the biggest single increase in our operating spend, if I look back 12 months to today, has been in sales and marketing – sorry, sales and marketing and application is what we've invested significantly and I think you can start to see the momentum coming from that additional headcount.
Ananda Baruah: That’s helpful. Thanks guys. Appreciate it. 
Operator: Thank you. One moment for our next question. And our next question comes from the line of Aaron Martin from AIGH Investment Partners. Your question please.
Aaron Martin: Hi, guys. Congratulations on the progress. Congratulations on the, I think it's the first EV two wheeler and three wheeler design-ins. Can you talk a little bit more about that and kind of your expectations there? And you're talking with multiple – I think, you said you had two design-ins looking for a design win by the end of the year and a ramp in 2024. How should we think about the EV two wheeler market? We're obviously much further along than the four wheeler in terms of sizing and the kind of ramp. Are those, how do those designs compare from a size perspective relative to some of the other designs you currently have?
Primit Parikh: Thank you for that. So, yes, it is definitely exciting. The first two design-ins we won, and these are very reputable customers, two out of the top five as we speak. And we are targeting, we expect to get initial production orders by end of the year towards that, and then ramp in calendar year 2024. Like we have said before, we still expect these design-ins to be around $1 million level from the EV. Not each design win million-dollar level, but hit $1 million-plus level in calendar year 2024. And we are engaged actually beyond the two out of five, we are engaged with 10-plus customers actually in India and Asia on this two wheeler charger opportunities at the onboard charger or a portable charger or a poll charger in the two wheeler space. So – on the question of the size ultimately versus, say, if you look at a four wheeler opportunity on the onboard charger or the inverter, those will be much larger size, but a little bit behind in time. But coming right now, where it stands with the two wheeler and three wheeler and if we compare it to, say, our design-ins – other design-ins such as server power or blockchain or inverter, UPS space we have. We believe it can be as much or even more growing in this EV two wheeler segment in the next – in 2024 and 2025.
Aaron Martin: Okay. And then for the ramp in 2024, are you expecting more than these two design wins – design-ins or that's really these two designs-ins are enough for that?
Primit Parikh: No, we do hope to get more design-ins also for 2024, which we are working on.
Aaron Martin: Okay. Congratulations on the progress.
Primit Parikh: Thank you. 
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Primit Parikh for any further remarks.
Primit Parikh: No, thank you. Thank you for the attention today, and we expect to continue on this momentum that we have secured with moving along with the strategic review and extending our cash runway well into fiscal 2025, executing on our product priorities and product revenue growth, backed by cost down and margin improvements. And then executing on our new products to keep continuing growing the design-ins and stay ahead of competition. Thank you very much, and till next time.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.